Operator: Good morning, and welcome to KeyCorp's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Brian Mauney, KeyCorp Director of Investor Relations. Please go ahead.
Brian Mauney: Thank you, operator, and good morning, everyone. I'd like thank you for joining KeyCorp's second quarter 2025 earnings conference call. I'm here with Chris Gorman, our Chairman and Chief Executive Officer; and Clark Khayat, our Chief Financial Officer. As usual, we will reference our earnings presentation slides, which can be found in the Investor Relations section of the key.com website. In the back of the presentation, you will find our statement on forward-looking disclosures and certain financial measures, including non-GAAP measures. This covers our earnings materials as well as remarks made on this morning's call. Actual results may differ materially from forward-looking statements and those statements speak only as of today, July 22, 2025, and will not be updated. With that, I will turn it over to you, Chris.
Christopher Gorman: Thank you, Brian, and good morning, everyone. Today, we reported strong second quarter results and what can be described as a dynamic and complex macro environment. Earnings per share were $0.35, even while we added $36 million to our loan loss reserves and elected to prefund our charitable foundation this quarter. Revenues were up 21% from a year ago, while expenses were up about 6%, excluding the charitable contribution. Our pre-provision net revenue increased by $44 million sequentially, marking the fifth straight quarter that our PPNR has increased. In the aggregate, our PPNR has grown over 60% since the first quarter of 2024. We continued to demonstrate strong commercial loan growth. As of June 30, we had already achieved our full year plan to grow commercial loans by about $3 billion in 2025, and our backlogs in both institutional and middle market continue to build as we look to the second half of the year. We also continue to drive incremental value from our high-quality deposit franchise entering the year with a historically low loan-to-deposit ratio of 70% combined with the runoff of low-yielding consumer mortgages has afforded us the flexibility to prioritize beta management in the first half of the year. As a result, we have been able to manage down our deposit costs which are now below 2%. Additionally, our cumulative down beta has reached the mid-50% range, which matches our terminal beta from the rising rate cycle. With respect to fees, which grew 10% from a year ago, our priority fee-based businesses all continued to perform very well. Investment banking had its second best first half of the year in history as debt and equity issuance normalized after pausing in April, particularly as we approach the end of the quarter. We raised over $30 billion of capital for our clients in the quarter, retaining 22% on our balance sheet. Commercial Payments fee equivalent revenue grew high single digits year-over-year. Assets under management reached a record $64 billion. Additionally, sales production in our mass affluent segment was a record in the first half of the year. Finally, commercial mortgage servicing continued its strong performance as named special servicing balances reached record levels and active special servicing balances remained near record levels. While top line momentum remains robust, concurrently, all of our credit metrics continue to migrate in the right direction. Net charge-offs, criticized loans and delinquencies all declined from the first quarter while NPAs were essentially stable. Our overall credit migration improved for the sixth consecutive quarter with commercial upgrades exceeding downgrades this quarter. Our strong first half results, combined with our healthy pipelines and active client engagements drive our optimism that we will meet or exceed all of the full year and exit rate financial targets that we detailed for you at the beginning of the year. As Clark will discuss in more depth shortly, we are increasing our net interest income and loan growth guidance. Based on the rebound in client activity, we continue to feel good about our ability to deliver 5% or better fee growth this year. Investment Banking pipelines remain at historically elevated levels, essentially flat on a linked-quarter basis. Concurrently, we remain committed to holding expense growth in the low to mid-single-digit range, even while investing meaningfully in our frontline bankers and increasing our tech spend by nearly $100 million this year. On the hiring front, we are on track to increase our frontline bankers and client advisers by roughly 10% this year. We have successfully recruited highly skilled investment bankers, middle market relationship managers, wealth managers and payments advisers to our platform and our active recruiting pipelines remain strong. I'm also encouraged by our strong retention rates, which are reflective of our highly engaged sales force. As a reminder, we accelerated investments in people and technology late last year, and we are already seeing returns on those investments. For example, in the case of our middle market banking, the teams that we onboarded in Chicago and Southern California, this last November have already driven new client growth, loan volumes, payments and investment banking business. Our platform is very attractive to bankers with specific expertise that aligns to our industry verticals. Our new teammates can join the key team and be more impactful to both their clients and their prospects. To wrap up, we had a solid first half of the year. We remain vigilant in a dynamic environment and are well positioned for a wide range of scenarios. We are operating from a position of strength. We have a leading capital position among our peers and ample liquidity that gives us flexibility to take advantage of the inevitable market dislocations. Our clearly defined structural net interest income tailwind is materializing as expected. We are enjoying significant success in the marketplace while concurrently making investments in people and technology that will drive our future growth. With that, I'd like to turn it over to Clark. Clark.
Clark Khayat: Thanks, Chris. Starting on Slide 4. We reported second quarter earnings per share of $0.35. Revenue was up 21% year-over-year, while expenses increased 7% or 6% adjusting for a charitable foundation contribution that we've historically done later in the year. Tax equivalent net interest income was up 4% sequentially and 28% year-over-year. Noninterest income increased 10% year-over-year, reflecting continued momentum across investment banking, commercial mortgage servicing, commercial payments and wealth. We achieved approximately 1,400 and 300 basis points of total and fee-based operating leverage, respectively, year-over-year. Provision for credit losses of $138 million included $102 million of net charge-offs and a $36 million reserve build. Roughly half of the build is driven by loan growth and mix shift and the remainder from the net impact deterioration in the Moody's macroeconomic scenario. Recall, last quarter, we made a qualitative adjustment to account for the heightened uncertainty at the time. We reversed some of that build this quarter as the uncertainty is now reflected in the Moody's scenario. Tangible book value per share increased 3% sequentially and 27% year-over-year. Moving to the balance sheet on Slide 5. Average loans were up $1.4 billion sequentially and increased $1.6 billion on a period-end basis. On a spot basis, C&I loans grew $1.7 billion and CRE loans grew $0.5 billion, partially offset by the intentional runoff of low-yielding consumer loans, namely residential mortgages. Within C&I, the growth continues to be broad-based across industries and regions with both large institutions and middle market clients. Most of the growth was from new clients to Key. C&I line utilization ticked up approximately 50 basis points to 32%. The CRE growth was primarily driven by project-based deals and affordable housing, traditional multifamily and data centers. On Slide 6, average deposit declined by less than 1% from last quarter as we prioritized beta management in the first half of the year and primarily reflected a reduction in higher cost commercial client balances and retail CDs. Compared to the prior year, total deposits and client deposits both increased by 2%, reflecting growth in consumer balances. 95% of commercial balances are with clients that have an operating account with Key. Noninterest-bearing deposits were 19% of total deposits or 23% when adjusted for the noninterest-bearing deposits in our hybrid accounts, stable to the first quarter. Interest-bearing deposit costs decreased by 9 basis points during the quarter, and total deposit costs were managed below 2%. Cumulative deposit betas to the Fed rate cuts continue to perform better than expectations, reaching 55% in the second quarter. Overall, interest-bearing funding costs declined by 6 basis points and our cumulative interest-bearing funding beta was 69% through the second quarter. Slide 7 provides drivers of net interest income and NIM this quarter. Tax equivalent net interest income was up 4% sequentially and net interest margin increased by 8 basis points to 2.66%. The increase was largely driven by proactive deposit beta management, fixed rate asset repricing, swap maturities and commercial loan growth. NII also benefited from an additional day in the quarter. While client sentiment has improved compared to where it was on our last earnings call in mid-April, the environment remains dynamic. Given the macro uncertainty, we continue to hold roughly $4 billion to $5 billion more cash and other short-term liquidity than we anticipate needing over the medium term. This excess cash position had a 4 to 5 basis points impact on NIM but a de minimis impact to NII. Turning to Slide 8. Noninterest income was $690 million, up 10% year-over-year, with all of our priority fee-based businesses growing mid-single digits or better. Investment banking and debt placement fees were $178 million, an increase of 41% year-over-year. For the first half of 2025, investment banking fees were $353 million, the second best first half in our company's history. This quarter's growth was driven by syndication, commercial real estate and equity issuance activity. Several clients accelerated their transactions into the end of the quarter to take advantage of lower yields and tighter spreads. While this does pull forward some activity from the third quarter, we have since backfilled a good majority of that pipeline, and so if current conditions hold, we're optimistic that the third quarter investment banking fees could look similar to 2Q levels. Elsewhere, commercial mortgage servicing fees continue to perform well, growing approximately 15% year-over-year. As of June 30, we were the named primary or special servicer on approximately $710 billion of CRE loans, of which about $260 billion is special servicing. Active special servicing balances remain elevated at approximately $11 billion, up 59% compared to the prior year. Our service charges and corporate services fees increased roughly 11% and 12%, respectively. The increase in service charges was largely driven by continued momentum in commercial payments while corporate services income was driven by loan derivative and FX client activity. Despite market volatility earlier in April and a 1-month lag in how we book our fees, trust and investment services income grew 5% and assets under management reached a record high of $64 billion. On Slide 9, second quarter noninterest expenses of $1.15 billion increased 2% from the prior quarter and 7% year-over-year on a reported basis. Year-over-year expense growth was driven by higher personnel expense related to the strong fee generation, continued investments in people and technology as well as higher other business services and professional fees. During the quarter, we made a $10 million contribution to our charitable foundation. Consistent with prior guidance, we expect expenses to increase through the remainder of the year, reflecting continued hiring and technology investments anticipated growth in noninterest income and client activity, day count and other seasonality factors. As shown on Slide 10, credit quality is broadly stable to improving. On a linked quarter basis, net charge-offs were $102 million, down 7% or an annualized 39 basis points of average loans. Nonperforming asset trends were stable. Dollars increased by 1% but NPAs to loans and OREO declined by 1 basis point to 66 basis points. Criticized loans declined by about $200 million or 3%. Turning to Slide 11. Our CET1 ratio was 11.7% at quarter end as loan growth and a change in loan mix offset net earnings generation. Our marked CET1 ratio, which includes unrealized AFS and pension losses, rose slightly to 10%. We believe both ratios continue to be at or near the top of the peer group. Moving to Slide 12. We are positively revising our 2025 guidance given the strong first half of the year and encouraging pipelines we see heading into the back half. This guidance continues to incorporate a range of potential scenarios, anywhere from 0 to 4 cuts as we move through the balance of the year. We now expect full year net interest income growth of 20% to 22% compared to prior guidance of approximately 20%. As a reminder, roughly 8% of our NII growth this year is due to the Scotiabank investment and related securities portfolio repositioning that we executed late in 2024 implying organic NII growth in the low teens this year. We also now expect our fourth quarter exit rate NII to grow 11% or better compared to the fourth quarter of 2024 and fourth quarter NIM to be approximately 2.75%. We've also improved our loan guidance for the year. As a reminder, our previous guidance for average loans was down 2% to 5% with loans flat on a period-end basis including commercial loans up 2% to 4%. We now expect average loans for the full year to be down 1% to 3%. On a period-end basis, loans are now expected to be up approximately 2%, with commercial loans growing about 5%. Other P&L guidance remains broadly unchanged. We continue to expect adjusted fees will grow 5% or a little better with the upside primarily dependent on IV pipelines pulling through the second half. Expenses up 3% to 5% and note that we are currently planning to be at the midpoint of this range given client activity levels and pipelines to date. Net charge-offs as a percent of loans in the 40 to 45 basis point range. With respect to capital, we continue to target marked CET1 ratio of 9.5% to 10% over time, but as the macro outlook remains dynamic, it's our intention to manage to the high end of this range in the near term. With that, I will now turn the call back to the operator to provide instructions for the Q&A session. Operator?
Operator: [Operator Instructions] The first question comes from Ryan Nash with Goldman Sachs.
Ryan Nash: So you guys had better-than-expected investment banking fees and you also had stronger loan growth in the quarter. It sounds like pipelines are still pretty healthy coming into the back half. Clark, you made some comments about 3Q investment banking, which sounded pretty upbeat. So -- maybe just to start off, Chris, can you maybe just talk about what you're hearing from clients in terms of their sentiment and their eagerness to borrow and transact. And maybe, Clark, can you just talk about how all of this translated into your financial outlook in terms of the higher NII and loan growth? And I have a follow-up.
Christopher Gorman: Sure. Well, let me start. From a client sentiment, I would say that our clients are cautiously optimistic. I'm out, as you know, talking to our clients all the time and it's interesting, they go through all the macro concerns, geopolitical, tariffs, trade. And then you ask about their business and they say they feel pretty good about their business. So let me start with the consumer, Ryan. Our consumer is just fine. Just as a reminder, at funding, our consumers have a FICO score of about 767. And so as you look at how the credits are performing, if you look at how spending volumes are performing, our clients are in good shape. I think one of the things that the models really failed to pick up is the wealth effect. And the fact that household wealth in the United States over the last 15 years has increased by about $100 trillion and that is -- that's not inconsequential. And I think when people start looking at hours worked and they start looking at the labor participation rate, I think sometimes that's missed. For example, we're a Main Street bank, and we have perfect information and 1 million of our 2.5 million customers have between $0.5 million and $2 million to invest. So that's the consumer. The consumer is in good shape. Let's talk about commercial for a second. I think balance sheets are healthy. Their liquidity is in good shape. I think the companies are a lot more agile, Ryan than they were even going into the pandemic. If you look at their supply chains, if you look at their ability to just make changes on the fly, it's interesting. We performed a very detailed survey on 850 customers that borrowed $10 million or more. 50% of them think that the current environment is an opportunity for growth. As it relates to tariffs because that's always a topic for everyone, 30% of our customers are impacted by tariffs. But here's the interesting thing. Of the $56 billion that we have outstanding in C&I, only 3% are significantly impacted in a direct way by tariffs. So that's just a little bit of a rundown there. The one thing I would add, I guess, that I don't think people are talking about enough. It's not that pertinent to publicly traded companies. But for private companies, this 100% bonus depreciation, I think that's very significant. And none of that is in any of the plans that we're sharing with you today in any of our updated guidance. I think in the back half of the year, for the first time in a long time, you're going to see a significant ramp up in CapEx. And I'll just close by just giving a couple of watch points, as I always do. I think while we at Key, our criticized loans are down 13% year-over-year, the areas that we're watching very, very closely are any place there's leverage. One of my view is we could very well be in a higher for longer scenario. And if that's the case, we've got to really watch these leveraged companies. Only 2% to 3% of our loans are leveraged. The other place we're watching is any place that's dependent on Medicare funding. So that's hospitals and other places. We're watching those. And then we have a little bit of an outside-in perspective from our third-party commercial loan servicing business. As you know, we're named special servicer on $267 billion of loans. And when they go into active, we're basically the workout agent. And it won't surprise you, but what's in active special servicing right now is office, multifamily, principally in the Sunbelt. And then what's new is there's been a little bit of a surge in lodging, which I thought was interesting. But that's kind of a round robin on kind of how we see the customers. Clark, what would you add to that?
Clark Khayat: Let's maybe start with NII since I think that's been in focus most of the year and another good quarter for us, up 4% first quarter to second quarter. And that's led to the kind of revised guidance here. So just as a reminder and for avoidance of doubt, we went from approximately 20% NII up year-over-year to 20% to 22%. And fourth quarter exit rate from 10% plus to 11% plus, and we picked up the NIM there as well. I think important to note that we have the equivalent level of confidence in the revised guidance we did in the previous, which means we believe we can deliver this across a range of conditions, inclusive kind of no cuts to port cuts and barring any significant macro or event-driven shifts. Built on strong first half performance, so more C&I growth than planned, better deposit performance, so down 9 basis points on interest-bearing deposits in the quarter. So really good performance on both there. We expect that to continue, but not likely at the same rate in the second half as competition begins to pick up a little bit on the deposit side. I think it's also important to note that the potential upside that Chris referenced in things like bonus depreciation and CapEx spend is not part of that guide. So if that materializes in any significant way, that could be potential upside there. I would say, achieving the middle of the improved guidance range of the 20% to 22% does imply a pretty healthy 2% to 3% quarterly organic growth rate of second quarter levels. So we don't think it's a layup to be sure. On fees, we had a very good second quarter across all the priority fee categories. and again, aided by a late rally the last few weeks of June in Investment Banking. I think back in early June, I noted the April pause was making the 5%-plus guide on fees a little tighter. Since then, obviously, activities picked up considerably. I think that's reflective of clients' willingness and ability to act quickly and a significant amount of investor capital that's on the sidelines waiting to get into the market. I think if we see that level of capital markets activity continue in the second half, we feel like we can deliver on the plus component of that fee guide. As for expenses, we continue to invest as we've shared. We'll see an uptick in the second half based on continued hiring and investments in technology. I'd remind you, we accelerated the same types of investments in the fourth quarter last year. and we've seen those benefits already in 2025, very confident on this expense guide. And to the extent the market turned, and we saw some softness, we have ways to address fee growth through the back half of the year, but we don't plan to do that at the expense of sound investments for future profitable growth. And then lastly, credit metrics, stable to improving across the board. We're quite comfortable with our reserve at the moment and the direction of travel there as it always does, will obviously depend on how the economy unfolds in the second half.
Ryan Nash: Got it. I appreciate the in-depth response. So maybe just as my quick follow-up sort of where you left off, Clark. Results in the first half coming in better than expected, and this should set you up well for 2026 revenue growth. And when you think about expenses, you talked about in the midpoint of the range for this year. Can you maybe just talk about how you're thinking about the pacing of investments over the short to medium term? It feels like you're playing more offense now in terms of hiring and technology investing. And maybe just as we look ahead, what is the right way to think about the pacing of positive operating leverage over the medium term?
Christopher Gorman: Ryan. So a couple of things. Obviously, positive operating leverage for us is a fait accompli this year. We focused on really generating positive operating leverage from a fee perspective, and we'll continue to focus on that. We've also continued to invest probably at the current rates. We're growing our -- we mentioned in our prepared remarks that we're growing bankers, middle market relationship managers, wealth managers, payment advisers. We're going to continue to invest there. We frankly have been investing in technology the whole time. Every year, we've replaced core systems. We've actually migrated half of our apps now to the cloud. Our systems are in the cloud. We'll continue along that investment. But I'm a big believer that you've got to continually -- through continuous improvement, we have to be able to take out costs and serve our clients better. And we were an early adopter when you think about robotic process automation. We've been an early adopter on machine learning. That goes as far back as our performance in PPP, you'll remember. And we're very focused on using technology to take -- not only take out expense, but have it be a better experience for both our teammates and our employees.
Operator: The next question comes from Scott Siefers with Piper Sandler.
Robert Siefers: Clark, I was hoping you could expand a little on some of the deposit comments you made in response to the last question, just basically sort of deposit pricing strategy given the 9 basis points improvement sequentially and expectations that will continue, maybe more -- I guess, more broadly, sort of the pricing versus growth balance. I know you're in an excess liquidity position, but would just be curious to hear your thoughts there.
Clark Khayat: Sure. So just to maybe put a finer point on your last comment there. We came in at a loan-to-deposit ratios at the low end of the peer group, 70%. So I think that affords us a little bit of flexibility there. I think our deposit costs slightly higher, so some room there and a lot of CDs and MMDA promotional rates rolling over kind of month-to-month. That will continue in the second half. And then the last piece that hasn't played out exactly the way we thought at the beginning of the year, but continues to be beneficial on the liquidity side is just the trade of residential real estate paydowns and then the movement of those dollars into C&I loans. So it didn't happen as much as we had thought going in, which is the benefit of faster loan growth, but that is still a benefit on the liquidity side. So we saw some positive pricing in the quarter. We did on 2 fronts, kind of make it an active decision to let some deposits roll off in 2 places, in particular, kind of high-end commercial where we did see some relatively competitive pricing happening, and we didn't feel the need to match those offers. Those remain clients, and we could go back to those dollars if we needed them. And then on the retail CD side, we let about $1.4 billion roll-off that we're not turning over at the same rate. I will say, while our front book production on CDs and promotional MMDAs is a little bit lower given some of our market rates, our retention -- client retention rates in those pockets are better than expected. So again, we're seeing -- I think I'd argue maybe consumers aren't chasing 25 basis points at these levels. And then maybe one other point on deposits, which are, in the quarter, we did see CRE clients use cash to do acquisitions instead of pay down, those paydowns would have been deposits. They're using cash to buy new properties. That would also exist in our servicing book. So in both cases, we saw a little bit lower deposits on those sides. We'll see how that transpires in the second half. But normally, our low point in deposits would be mid- to late April after tax season. That really rolled a bit into May, but we've seen a nice rebound, particularly on the commercial side going into the end of the quarter. We have good commercial deposit pipelines and we'd expect to see that grow going into the second half, but we are very much watching some of the deposit actions of competitors, given some of the comments we've heard across the industry in the quarter.
Robert Siefers: Got you. Perfect. And then if I could switch to capital for just a second. So I think you're now at the high end of the mark, common equity Tier 1 target. Just maybe a thought on where we are sort of with resuming repurchase and sort of order of magnitude in terms of appetite as we look into the second half of the year?
Christopher Gorman: So Scott, it kind of our thought on capital is, one, yes, we are at the high end of our targeted marked CET1 right at 10%. Having said that, we've said that in this environment, we think it's good to carry a little additional capital and preserve optionality. There's a few things going on. One, our underlying organic business is very strong right now, and we want to make sure we have capital to support our clients, first and foremost, in the marketplace. Secondly, I think there's going to be an opportunity out there for kind of -- for us to continue to invest in people and if they may come in groups, invest in technology, which I just talked about, that's high on our list. The next thing that I think you'll see us kind of continuing that we always look at is kind of niche or tuck-in acquisitions. I think we're pretty good at buying these entrepreneurial groups and plugging them into our platform. Obviously, the dividend is important. And then that gives you kind of at the bottom of the stack that gives you 2 things that we could do with the excess capital. One is we could do tweaking of our balance sheet, which we're constantly looking at or we could resume our share repurchases. I think we'll do that, but it will be kind of a crawl, walk, run approach. I would say that in the third quarter, you can assume that we would have modest share repurchases and then probably stepping up later in the fourth quarter. That's how we're thinking about it now based on the opportunities that we have in front of us.
Operator: The following question comes from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: I guess maybe just Clark, following up with you on the NII and the margin outlook. I think in the past, you've talked about the margin potentially hitting 3% as you think about a normalized level for the margin. So if you don't mind, as we think about the 2.75% exit run rate in the fourth quarter, one, do you think we can get to 3% by next year? And in that world, I know you talked about the loan-to-deposit ratio, like is the balance sheet larger or smaller before you get to the 3% NIM?
Clark Khayat: Yes. So look, I think one note, we were at $2.66 in the quarter. And as we noted, we are carrying a little bit extra cash that probably cost us 4 or 5 basis points on NIM. So I think there's continued strong performance there. We still feel confident that by end of '26, we can be at 3% at the current course and speed. In terms of balance sheet size, I'd say there's probably a couple of ways to think about it. One, in our business model, and this is not an NII specific answer, but we don't feel that we necessarily need to grow the balance sheet to grow the business given some of our capital markets distribution capabilities. That said, we will continue to see residential real estate runoff, something like about $600 million a quarter is what we've seen this year, maybe another $2 billion or so next year that affords us some liquidity to invest in C&I growth on an ongoing basis. And at this point, given our liquidity position, we could take down cash and/or reduce the securities book a little bit if we wanted to. So I think there's ways to actually grow NII and reflect that in a better NIM over time without necessarily a significantly larger balance sheet. But again, we'll operate based on, to some degree, where the environment is, and we've carried additional cash in the quarter, just given the April pause and some of the uncertainty we've seen out there.
Ebrahim Poonawala: Got it. And I guess maybe just going back -- so I think my takeaway based on your responses was momentum, both on lending and capital markets seems to be strengthening as we look into the back half of the year. And I think, Chris, you mentioned about hiring of bankers. Just remind us the -- I'm not sure if you spelled out the number of bankers you plan to hire and are these within your existing verticals? Kind of what's the focus when you think about incremental banker hiring?
Christopher Gorman: Yes. So what we said is we were going to increase our frontline people by 10%. And specifically, we talked about investment bankers. So we're really building -- those are clearly being built out within our verticals. We talked about middle market relationship managers. And those folks, as you know, are typically in a given geography, but they obviously point to many of our industry verticals because that's where we have the greatest leverage in the marketplace. We've talked about wealth managers and our wealth managers are a little bit different than some because we're often -- when it comes to mass affluent mining, the huge opportunity that we have within our existing business. We've only penetrated to the tune of about 10% in our mass affluent area. So our hiring there is a little bit different. Also, our payment advisers, Ebrahim, are typically really software folks because it's all about implementation of our complex and important embedded banking, for example. So those are the kind of people we're hiring. And as we mentioned in our opening remarks, there's a lot of people available right now.
Operator: The next question comes from Chris McGratty with Keefe, Bruyette, & Woods.
Christopher McGratty: Chris, on the deregulatory question, I think you addressed kind of uses of capital. But if we think about where Key is spending money, you talked about the increase in tech spend. If we do get broader deregulatory reform, is there a reallocation of where you're allocating dollars maybe towards more productive revenue producers versus more back office regulatory costs?
Christopher Gorman: Well, the interesting thing, Chris, is we've really -- even though Basel III end game hasn't been finalized and there's liquidity rules out there, we have basically adopted all of the proposals as they've come out. So we really feel like the investment that we've needed to make in terms of sort of the plumbing has been made. And so we feel like we have the opportunity to really lean in on hiring more frontline people because we think we have a unique business model and also on technology. So I think you'd see us really no matter where -- I mean, clearly, the regulatory environment is going to do nothing but get more favorable. And we feel like from a starting point of where we are, we're in good stead there.
Operator: The next question comes from Ben Risbeck with Autonomous.
Kenneth Usdin: Guys, it's Ken Usdin. Chris, you mentioned in your prepared remarks that kept about 20% of the $30 billion originated for clients. It's a little higher of a keep rate than you had in the past. I'm just wondering how much more are you willing to push that in terms of both seeing the improved potential originations out there and your comfort with like your hold levels of that origination capacity?
Christopher Gorman: Yes. Well, that's a great observation. Typically, over time, we've typically held about 18%. And as you point out, we were above 20%, we were at 22% this last quarter. And it really Ken is all driven on what's in the client's best interest. And when the market's dislocated a bit for 3 weeks in April, it gave us the opportunity to structure things and put them on our balance sheet in a manner that we'd be very satisfied to have them on our balance sheet. So if -- I've said this before, actually, if everything is flashing green, it's really hard. Given our platform, if we get a little bit of dislocation in the market, that's actually good for us. And it was certainly good for us last quarter.
Kenneth Usdin: Okay. And just a little bit of a dig on the -- dig in on the line. You had talked mid-quarter about line being up, and it looks like it was only up about a 0.5% in the quarter itself. Can you just talk about the dynamics that you're seeing there in terms of unfunded growth and also just clients' willingness to draw down their lines?
Christopher Gorman: Yes. That's a great question, and it's one that frankly has confounded us. I would have thought that people would have been aggressively forward buying all the tariffs. It's interesting, in the middle of the quarter, we were actually up more like 1%, and we ended up the quarter up about 0.5%. It continues to be something that we're watching. Obviously, that's the easiest way for us to grow loans. I think as we get into an environment where there's probably more certainty, we may see people forward buying the tariffs, but we have not seen a lot of that in our book, and we're pretty close to our customers. I've been surprised.
Clark Khayat: One other slight point on that utilization rate, Ken, is the denominator grew a little bit in the quarter as well. So that wouldn't offset the entire 0.5%, but would certainly bring it down a little bit.
Operator: We have a question from Manan Gosalia with Morgan Stanley.
Manan Gosalia: Can you talk about just pricing competition on both the loan and deposit side? I think some of your peers have noted some pressure on spreads and you also called out tighter spreads in the capital markets. So as you think about your forward loan growth, can you talk about how you expect spreads to trend? And maybe also on the deposit side, I think you called out that you expect more competition there. So if you can talk a little bit more about that.
Christopher Gorman: Sure. So let's start with loans because we've touched a little bit on deposits this morning. So on the loans, if you look at the pricing of our loans, we're basically flat year-over-year. We are seeing additional competition, additional market participants and that sometimes manifests itself in people taking larger hold levels. It manifests itself in people stretching maybe a bit on structure. We clearly aren't doing that. But as I've said many times, a properly graded commercial loan can't return its cost of capital, and that's why our business model is so important, Manan and that we can do so many other things for these clients. So our pricing has actually stayed flat. But I think pricing on quality loans will continue to be a challenge just based on what I see is excess capacity out there. Having said that, as you can see, we are able to monetize these relationships in a variety of ways. Well over 95% of our borrowing commercial customers in fact, have a more wholesome relationship than just borrowing. So I think that's really important. I think that's the key. And that, frankly, is how banks like Key can compete with a variety of competitors. On the deposit front, I think Clark covered that. We've seen very rational pricing to date, although obviously, we, like you have heard some of the recent discussions of increased focus on pricing. Clark, what would you add to that?
Clark Khayat: Look, we noted a little bit more competitive pricing on the commercial deposit side, we'll watch that closely, particularly as we expect some growth in that book in the second half. I think broadly, in our markets at least consumer pricing has been pretty rational as Chris noted. There are some spots where we've seen either a push on premiums or a push on some teaser rates. We have seen conversely in a couple of Western markets, some large players actually take their front book rates down. So it's a little bit of a mixed bag. And I think when you get to this level in the deposit game, it is a very local market-to-market business, and we're watching it in exactly that way.
Manan Gosalia: Got it. Very helpful. Maybe on the credit side, with the strong C&I growth and the mix shift in loans, how should we think about the reserve ratio from here? Has it bottomed here? Or is there more room to bring it down if criticized loans and NPLs keep moving lower?
Clark Khayat: Yes. I mean, look, 3 things, as you know, drive the reserve, right? The loan growth, the general credit quality of our own book and then the macroeconomic environment. So I think, as we said, our credit metrics overall stable to improving. If we continue in that direction, you would see that reflected appropriately in the reserve. Half of our build this quarter was really loan growth. So that's a high-class problem, generally speaking. And then the macroeconomic conditions, obviously, are a little bit outside of our control. We will reflect that appropriately. I think if some of the upside that Chris referenced earlier came to pass and that led to a stronger, more constructive economy, there's clearly room to reduce the reserve, but we still see a fair amount of uncertainty, and that's why we didn't pull off the entirety of the qualitative reserve we put out in the first quarter.
Operator: The following comes from Erika Najarian with UBS.
L. Erika Penala: I just wanted to unpack the loan growth guide. Ending loans up 2%. You're already there for the first half of the year. Is that dynamic that you're expecting for the second half related to Clark, what you said about maybe some resi growth funding loan growth? I mean, Chris sounded quite bullish. He said underlying organic growth is very strong. I'm sure he's referring to C&I. So I wanted to unpack that and clarify what you had said about -- you said something about getting to the midpoint of the NII guide would require 2% to 3% organic growth in -- I just wanted to circle that square.
Clark Khayat: Okay. So I'll maybe start with the latter, which is, if you go from our second quarter results and get to the midpoint of the guide at 21%, you sort of have somewhere in the 2% to 3% range of growth in the quarters to get there, which we think is, again, not necessarily simple, but we think very achievable. So if that doesn't make sense, then let me know and we can go deeper into that. On the loan growth, I think it's what you noted there, which is -- sorry, go ahead.
L. Erika Penala: All good. Go ahead.
Clark Khayat: Okay. Sorry. So loan growth, Look, we saw stronger growth in the first half than we expected. We continue to expect to see growth just again, not necessarily on balance sheet at the same level. It will be offset by what we would expect right now, which is a little bit of CRE paydown and some resi real estate paydowns. So right now, we're sort of kind of net neutral on a balance basis, but moving more and more to that C&I profile, which we prefer. The other way I would think about it is if the capital markets get really strong, you could actually see more of that loan production go straight into the market and even some come off balance sheet and get refied into the market, that's pretty typical, and that would be our model, which is often reflected in kind of the lower retention rate of the capital we raised in the quarter. Conversely, if things slow, as Chris noted, we might use the balance sheet a little bit more, but it's probably on aggregate, lower volume. So it gets us kind of similarly to a balance sheet growth rate on the C&I side, which again, we think gets offset by the runoff in those other portfolios. All of that to say, if some of the upside based on the CapEx and bonus depreciation provisions does occur. That's not really in the guide, and you could see some potential for a little bit of outperformance on C&I.
Christopher Gorman: And we're assuming at current rates that the runoff of our mortgage book is $600 million to $700 million a quarter, just to give it a perspective.
L. Erika Penala: Got it. And my second question is just wanted to sort of unpack maybe the balance sheet mix for the rest of the year and into '26. Clark, you mentioned, I think, 4 to 5 basis points net interest margin impact from excess cash. I think you said you're running -- you have $4 billion to $5 billion more than you need. I guess I'm wondering, as we think about the balance of the year, how you're thinking about running down that excess liquidity or not? And how we should think about deposit growth from here? I think, fully understand your comments on pricing. But as we think about the second half of the year, should we expect KeyCorp to continue to prioritize price optimization versus deposit growth? Or are there sort of seasonal and business benefits to the second half?
Clark Khayat: Yes. So great question. And you hit on a bunch of the components. So generally would see seasonal growth in the second half. We would expect that, as I noted in the commercial book, for sure, although we'll watch the kind of price balance trade-off. I don't think, given the loan growth we saw that we would be as sort of slanted to pricing versus balances as we were in the first half. I think we'd be in a little bit more of a lack of ironic term, a balanced approach here between rate and dollars. And I think you'll see stable to slightly growing consumer deposits as well. So I think we'd expect the deposit book overall to grow. We think we have a little bit, all other things being equal, a little bit of pricing opportunity here just as CDs and MMDA promos roll off. But we're watching that closely. There's been a lot of deposit dynamics in the industry as we heard through the last week of earnings calls. So we'll watch it closely, but I don't think we will be as rate-oriented in the second half. And then on your cash question, look, given April and some of the other uncertainty, we certainly felt comfortable carrying a little bit more cash. It didn't really impact NII at all. It did drop the NIM a little artificially. As long as we feel like the environment is constructive, we'd probably bring that level down. And we'll continue to watch that as it transpires over the next month or so.
Operator: We have a question from John Pancari with Evercore.
John Pancari: Just looking for additional color on the loan growth drivers within C&I. I know it sounds like you do expect some strengthening there, particularly as you see the continued roll-off in CRE and you're investing the residential roll-off into C&I. What are the industries? And what type of lending do you expect to be the -- to gain the greatest momentum within the C&I book throughout the back half? And does your guidance for commercial growth, does it reflect that expectation at the Capital Markets gain steam and you could see some financing go into the markets?
Christopher Gorman: So let me start with the last part of the question first. It does not. I mean, we sort of assume kind of continuation of the way the markets are currently operating because that's just an easier way to plan. In terms of where we see the volume, it's pretty broad-based. But we're fortunate in that we are significant players in certain areas that lend themselves to sort of continuous new projects. One would be renewables. And obviously, renewables have been in the media a lot lately. We finance literally the best players in the renewable energy space. The way the bill was written is as long as you're completed in 4 years, you're in good shape. And so our backlogs there are intact and then talking to our leaders there, we feel good about that. The next area where we get a lot of growth is affordable. Affordable is one of the few areas that I've always said people on both sides of the aisle really agree on, and there's a bunch of things that are very good on a net basis for affordable. So those pipelines are strong. And then the other place where we're getting a fair amount of growth is around both our health care business. Obviously, health care is going through a big transformation. There's opportunity there. We also have a public sector business that's having a good year. And then just broadly, our middle market bankers are gaining share broadly. So that's where the growth is coming from both that which we funded and that which we see in the pipeline.
John Pancari: Got it. Great. And then separately on the capital front, we've seen a pickup in sector M&A amid the regional activity. And just curious in your updated thoughts around bank M&A. Where is it on your priority list and would you consider smaller transactions at all on that front if something interesting came up? And then maybe just an updated outlook around nonbank.
Christopher Gorman: Sure. I'll start with banks. And specifically, I'll talk about kind of our appetite. It's not high on our list. I kind of walked through our capital priorities, not high on our list of priorities. I just think -- right now, I think there's an environment where in the larger banks, you have a lot of people interested in buying and no one interested in selling. And with smaller banks, I think you probably have a lot of people that are interested in selling and not a lot of people interested in buying. Having said that, I do think we're going to start to see a pickup in bank M&A. We've already seen, obviously, a little bit of that. So that's the first point. The second point is actually really important for our business, and that is just greater velocity in M&A in general. We obviously have a very large M&A business. That business -- middle market M&A has been down significantly. And I think you're going to see that start to pick up after Labor Day. So in spite of how well our investment bank is performing, we're not -- we haven't gotten much of a lift on M&A. And I think people are getting pretty good clarity now on what can get done and importantly, how quickly things can be approved. And I think that holds true for banking and nonbanking.
Clark Khayat: And maybe just the last add-on is the non-bank acquisition front for us, which, Chris, I think, noted once or twice and just that is a little bit of our bread and butter, and we consistently look at that, whether it's capital markets, payments or anything else that fits our priority fee businesses generally, and we'll continue to do that.
Christopher Gorman: Yes. We have a long history there. I'm really proud of our ability to buy entrepreneurial businesses. This goes back to all the partnerships we did with fintechs and all the boutiques. Not many large companies, I don't think, do a really good job of bringing on entrepreneurial businesses, and I think we do. We look at a lot of them, John. We obviously don't act on many, but I think that's an opportunity for us.
Mohit Ramani: And John, it's Mohit Ramani, Chief Risk Officer. Just on your prior comments on loan growth, we do look at that closely. We've been able to grow without stretching our risk appetite. So for example, we look at weighted average risk rating at origination versus the back book. We look at policy exceptions. So there's nothing that will give us concern that we're having a stretch to achieve this loan growth.
Christopher Gorman: Good point, Mohit.
Operator: We have a question from Matthew O’Connor with Deutsche Bank.
Matthew O’Connor: Can you frame how far along you are in terms of adding the 10% bankers across the businesses? Are you halfway? Have you front-ended it a bit?
Christopher Gorman: I don't have those numbers in each of the categories. Matt. But we front-ended a bit because, as you know, there's somewhat of a recruiting season. And so we've been very busy from the time people receive their bonuses to present. And obviously, as we get late in the year, it will tail off.
Matthew O’Connor: Okay. That's helpful. And then just separately, any updated thoughts on consumer lending strategy. I know you talked about continued rundown in the mortgage book and obviously, other areas have been running off as well. But just any updated strategic thoughts on consumer lending?
Christopher Gorman: Sure, Matt. I think what you'll see us is lean into HELOCs. We have the capability to do it. We're in the business right now. And obviously, our client base is older, has equity in their home for a variety of reasons that you know well, probably won't be moving and we'll be looking at tapping into the equity. And so I think that's probably a $2 billion or $3 billion opportunity for us as we ramp that up. Thank you, Matt.
Operator: I'll now pass it back to Chris Gorman for closing remarks.
Christopher Gorman: Well, we appreciate everyone's interest in Key and the discussion this morning. If anyone has any further questions, please reach out to our Investor Relations team directly. Thank you. We're adjourned. Goodbye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.